Operator: Welcome to the Omega Healthcare Investors Second Quarter 2017 Earnings Conference Call. [Operator Instructions]. And please note, this event is being recorded. I would now like to turn the conference over to Michele Reber. Please go ahead.
Michele Reber: Good morning. With me today are Omega's CEO, Taylor Pickett; CFO, Bob Stephenson; COO, Dan Booth; Chief Corporate Development Officer, Steven Insoft; and SVP Operations, Jeff Marshall. Comments made during this conference call that are not historical facts may be forward-looking statements, such as statements regarding our financial projections, dividend policy, portfolio restructurings, rent payments, financial condition or prospects of our operators, contemplated acquisitions and our business and portfolio outlook, generally. These forward-looking statements involve risks and uncertainties which may cause actual results to differ materially. Please see our press releases and our filings with the Securities and Exchange Commission, including, without limitation, our most recent report on Form 10-K which identifies specific factors that may cause actual results or events to differ materially from those described in forward-looking statements. During the call today, we will refer to some non-GAAP financial measures, such as FFO, adjusted FFO, FAD and EBITDA. Reconciliations of these non-GAAP measures to the most comparable measure under generally accepted accounting principlesas well as an explanation of the usefulness of the non-GAAP measures, are available under the Financial Information section of our website at www.omegahealthcare.com and in the case of FFO and adjusted FFO, in our press release issued today. I will now turn the call over to Taylor.
Taylor Pickett: Thanks, Michele. Good morning and thank you for joining Omega's Second Quarter 2017 Earnings Conference Call. Adjusted FFO for the quarter is $0.87 per share. Funds available for distribution, FAD for the quarter is $0.78 per share. We increased our quarterly common dividend by $0.01 to $0.64 per share. We've now the dividend by 20 consecutive quarters. Dividend payout ratio remains very conservative at 74% of adjusted FFO and 82% of FAD. We increased the low of our 2017 and adjusted FFO guidance range by $0.02. The new range is $3.42 to $3.44 per share which reflects our $219 million new investments, including capital investments completed year-to-date. The issuance of $700 million sub 5% long term debt, repayment of our high-yield bond and a new 5 year credit facility, including extensions. Our operators continue to successfully manage through labor and senses challenges. Occupancy increased slightly while EBITDAR direct coverage was flat. Turning to the Department of Justice investigation. 3 top 10 operators are responding to information requests made by the DoJ. 1 top 10 operator is ongoing discussion for the DoJ with respect to potential settlement. At this time, it's too early to determine the outcome of this operator's settlement discussions or any of the other DoJ inquiries. Later in the call, Dan will discuss the status of 2 large operators that are falling behind on rent payments. One important item to note that neither one of these operators is experiencing any unusual impact from the industry challenges, labor, reductions in length and space and rate pressures. Rather both operators are experiencing other issues as a result of management changes, portfolio changes and the litigation environment in Kentucky. We continue to strengthen the balance sheet with no debt maturities until 2022. Variable rate debt at less than one times EBITDA and over $1.1 billion in liquidity. Our superior balance sheet strength provides with ample room to capitalize opportunities in skilled nursing facility industry and navigate through some of the challenges that individual operators will face. We believe that some of the negative news regarding the reliability of our future rents and the ability to continue to deliver dividend growth to our shareholders significantly overstate the issues that our operators are managing through today and ignores the enormous demographic wave at seniors that will have greatly expanded healthcare needs over the next 5 years. Bob will now review our second quarter financial results.
Robert Stephenson: Thank you, Taylor and good morning. Our reportable FFO on a diluted basis was $151 million or $0.73 per share for the quarter as compared to $172 million or $0.87 per share for the second quarter of 2016. Our adjusted FFO was $179 million or $0.87 per share for the quarter and excludes the impact of $23.5 million in interest refinancing cost, $3.7 million of noncash stock-based compensation expense, $2.7 million in provision for uncollectible accounts and $1.9 million of one-time revenue. Operating revenue for the quarter was $236 million versus $229 million for the second quarter of 2016. The increase was primarily a result of incremental revenue from over $600 million of new investments, net of asset sales completed since the second quarter of 2016. The $236 million of revenue for the quarter, includes approximately $18 million of noncash revenue and $1.9 million of one-time revenue related to operator earnout that did not happen. Our G&A expense was $7.8 million for the quarter and is in line with our 2017 expense guidance of $8 million to $9 million per quarter. In addition, we expect our quarterly noncash stock-based compensation expense to be approximately $3.8 million. As Taylor stated in our first quarter earnings call, we continue to work with our operators to identify opportunities to improve portfolios via asset repositioning, including sales and asset transfers. As a result, in the second quarter, we recorded $10.1 million in real estate impairments to reduce 6 additional facilities to their estimated selling price. Interest expense for the quarter, when excluding noncash deferred financing cost and refinancing cost was $48 million versus $40 million for the same period in 2016. The $8 million increase in interest expense resulted from higher debt balances associated with financings related to our 2016 and '17 investments and a higher blended cost of debt primarily a resort of issuaing $700 million of new bond in Q2 reverting our $250 million term loan from floating to fixed rate in December 31, 2016 and overall higher LIBOR rates. Turning to the balance sheet, during the quarter, we sold 8 facilities for approximately $46 million, recognizing a loss of slightly under $1 million. We've recorded approximately $600,000 in Q2 revenue related to these 8 facilities. 5 of the 8 facilities were classified at investments and direct financing leases and 2 as held-for-sale at March 31, 2017. At June 30, we had 7 facilities valued at $19 million classified as held-for-sale. In April, we completed the issuance of $700 million of new bonds by issuing $550 million, 4.75% notes due 2028 and adding $150 million to our existing $250 million , 4.5% notes due 2025, making that issue index eligible. Proceeds from the bond deal were used to redeem $400 million 5.875% notes due 2024, repay $200 million term loan and the balance to repay credit facility borrowings. In May, we terminated our then existing $1.25 billion credit facility and repaid $550 million and term loan while simultaneously entering into a new $1.25 billion 4-year credit facility, a $425 million 5-year term loan and a $100 million 5-year British Pound Sterling term loan. For the 3-month period ended June 30, 2017, we incurred approximately $23.5 million in interest refinancing expense related to the redemption of our $400 million bonds and the termination of the credit facility and term loans. Our balance sheet remains exceptionally strong for the 3-month period ended June 30, 2017. Our net debt to adjusted pro forma analyze EBITDA was 4.77x and our fixed charge coverage ratio was 4.3x. I will now turn the call to Jeff.
Jeff Marshall: Thanks, Bob and good morning, everyone. The Republican-controlled Congress and the new CMS administration have actively engaged in legislative or regulatory reform measures, affecting the SNF industry over the past few months. Continuing an unprecedented pace of industry reform that we've briefly summarized on last quarter's earnings call. This update focuses on legislative and regulatory reform activities since that call. On the legislative front, congressional efforts to repeal and replace the Affordable Care Act or Obama Care have included several items that would significantly impact SNF. However, despite passage on May 4, by the House of Representatives of its repeal of replace bill, called the American healthcare act or AHA, the senate's moved to craft its own repeal and replace legislation, called the Better Care Reconciliation act, failed last week for lack of unified Republican support. In large part because of opposition to the proposed conian cuts Federal Medicaid funding growth that would've adversely affected SNF Medicaid rates in future years. Such opposition was heavily influenced by active lobbying from both SNF providers and the American Healthcare Association. The senate is now debating potential amendments to the AHA which may or may not impact Medicaid with the conference reconciliation process likely for any bill that might pass. The House AHA bill contains provisions that would significantly alter Federal funding state Medicaid programs from its current unlimited matching methodology to cap per capita methodology that would improve current Medicare funding to the long term care population. Opposition from Senate Republican moderates to any amendment that reduces Medicaid funding appears strong enough to kill any such measures. In other legislation the House passed in late June in industry-friendly Federal Retort Reform law that would cap noneconomic damages at $250,000. However, due to objections based on state's rights, the bill is expected to fail in the Senate. On the regulatory front, CMS's continued its strengths toward more favorable industry measures with its announcement on July 7 of revise and less honorous policies for assessment of civil monetary penalties related to compliance survey defficiencies, a move influenced by meetings with right industry advocates. Additionally, CMS moved to eliminate its previously proposed ban on SNF arbitration agreements had been temporarily halted with a federal court injunction initiated by the American Healthcare Association. Further, CMS delayed for one year, the imposition of any fines or failure to implement Phase II of the new requirements of participation scheduled for implementation in November 2017. Signaling CMS's willingness to consider further reductions in the regulatory burdens created by new requirements. Finally, CMS has extended the comment period to August 26, 2017, for its new budget-neutral resident characteristic system that would replace the current prospective payment system for SNF Medicare patients, allowing more time for provider groups to assess and comment on this significant proposed payment change that will likely take affect in October 2018. While engaging in these favorable steps, CMS has also stated its intent to continue the push toward more value-based payment initiatives, though at somewhat slower pace to allow the industry time to absorb the related changes. In conclusion, we're very encouraged that congressional legislation adversely impacting Federal Medicaid funding will fail, reflecting the SNF industry's influentual advocacy efforts. In that regulatory reform efforts to date under the new CMS administration have been quite positive. I will now turn the call over to Dan.
Daniel Booth: Thanks, Jeff and good morning, everyone. As of June 30, 2017, Omega had an operating asset portfolio of 986 facilities, of approximately 99,000 operating beds. These facilities were spread across 77 third-party operators and located within 41 states and United Kingdom. Trailing 12-month operator EBITDARM and EBITDAR coverage for our portfolio remained stable in our first quarter of 2017 at 1.69 and 1.33x respectively versus 1.69x and 1.33x respectively for the trailing 12-month period ended December 30, 2016. Both periods represent a slight uptick over trailing 12-month results for the third quarter ended September 30, 2016. While we're cautiously optimistic that portfolio-wide coverages have stabilized, we continue to see certain regional operators struggle with various operational pressures, including a tight labor market, length of stake compression and an increase in PLGL claims. Two our top 10 private operators in particular have seen margins and coverages decline and has a result create liquidity concerns. The first of these private operators and one which we discussed on our last earnings call, has continued to experience the quarterly pressures, despite finally showing signs of operations improvements. Coverage for the trailing 12-months ended March 31, 2017, remained slightly below 1x. However, results for the standalone first quarter was 1.12x and year-to-date results through May remained consistent. Efforts to manage previous operational pressures have included the following initiative, replacing the entire executive management team, including a very recent and significant downsizing of both corporate and regional staff; establishing a new disciplined corporate culture which involves replacement of majority of facility level management; rebranding its corporate identity; revising its mission statement; and implementing new business practices; negotiating numerous vendor contracts; and lastly establishing a centralized reform network. Additionally, Omega has helped concentrate this operator's geographic footprint by selling off 6 of the 7 Northwest facilities to third-party operators. One remaining facility in the Northwest is expected to be sold on August 1st pending regulatory approval. Omega has also transitioned this operator's entire Texas region which consisted of 9 facilities, to another existing Omega tenant. We're consciously optimistic that the combination of these efforts will result in steadily improving margins and eventually return to its formal profitability. However, in the meantime, our past 2 rent has reached nearly 90 days in arears. As such, any further deterioration and or the failure of tenant to achieve its budgeted plan may result in cash basis accounting and a potential review of the value of these capital lease assets. The second of the aforementioned top 10 private operators, while experiencing modest labor and SNF issues, has had the added challenges of recent slow appeal geo plans particularly in Kentucky and OIG DoJ investigation that has resulted in ongoing settlement discussions. In ongoing restructure discussions with its working capital lender and another sizeable winover. While Omega has reached a tentative amicable restructured plan with this tenant, the ultimate successful resolution with these other constituents will possibly be necessary to conclude a successful adequate settlement. It is important to note that Omega's specific standalone portfolio, while down from its historical performance, continues to produce coverage levels only slightly below Omega's overall portfolio need. In addition, Omega has considerable security deposits and significant personal guarantees to support, what we believe, our short term liquidity issues. As of today, this operator is currently nearing 90 days past due without the application of its security deposit which, in conjunction with our personal guarantees, more than covers the entire past due balance. Overall, while the ultimate outcome of these two portfolio issues could potentially cause a continuing but temporary interruption of current rent and from further discussions, we remain confident in both current management team's expertise. Furthermore, we're confident that the physical assets themselves and strong markets within which they are located provide comfort in the long term longevity and future success of these facilities. Lastly, we continue to work with all of our operators to provide support for the challenges currently facing the industry. Accordingly, Omega has repositioned a number of assets within our portfolio, including the sale of 23 facilities through year-to-date end of June 30, 2017, the subsequent sales of 1 additional facility in the third quarter of 2017 and a closing of 2 additional facilities. We expect to continue these repositioning efforts throughout 2017. Turning to new investments. During the second quarter of 2017, Omega completed 3 investments totaling $133 million plus an additional $48 million of capital expenditures. As previously announced, the first of these transactions was $113 million purchase lease back for 18 U.K. care homes in greater London and Birmingham. These facilities were leased back to Bold Care homes, new Omega tenant, persuing to a new 12-year master lease agreement with an initial cash yield of 8.5% and annual escalators of 2.5%. This transaction establishes Omega's second operator in U.K. and similar to Healthcare Homes, Omega's first U.K., Gold Care Homes has a highly experienced management team with strong aspirations to grow. Omega's holding in U.K. now consist of 53 care homes across Central London and the Southern and Eastern regions of England. In addition, during the second quarter, Omega completed an $8.6 million purchase lease transaction for 1 skilled nursing facility in North Carolina with an existing operator and provided $11 million in mortgage financing for 3 facilities in Michigan to an existing Omega operator. As of today, Omega has approximately $1.1 billion of combined cash and revolver availability to fund future investments and provide capital funds to our existing tenant base. I will now turn the call over to Steven.
Steven Insoft: Thanks, Dan and thanks to everyone for joining today. In conjunction with Maplewood Senior Living, we started from [indiscernible] work on our planed 215,000 square-foot ALF memory Care high rise at Second Avenue in 93rd street Manhattan. The project is expected to cost approximately $250 million and is scheduled to open in 2019. We're very pleased with the progress in New York City project. Including the land in CIP of our Newyork City project at the end of the second quarter, Omega Senior Housing portfolio totaled $1.45 billion of investment in our balance sheet. While anchored by our growing relationships with Maplewood Senior Living and their best-in-class properties as well as Healthcare Homes in Gold Care in the U.K., our overall senior housing investment now comprises 128 assisted living, independent living and memory care assets in U.S. and U.K. On a stand-alone basis, this portfolio not only covers its lease obligations to approximately 1.2x but also represents the larger Senior Housing portfolio amongst the publicly listed health care REITs. Our ability to successfully continue to grow this important components of our portfolio is highlighted by our 12 Maplewood facilities and the related pipeline is predicated on coupling our tenants operating capabilities with our commitment to having in-house design and construction expertise. Through the same capability, we invested $47.7 million in the second quarter in new construction and strategic reinvestment. We currently have over 85 active capital reinvestment projects at the end of Q2. 14 of these projects represent new construction with a total budget of approximately $500 million, inclusive of Manhattan and are actively being funded. We have $215 million of construction in progress on our balance sheet as of June 30, 2017. The remaining projects incumbents approximately $171 million of committed capital. $108 million of which has been funded through 6/30/17.
Taylor Pickett: Thanks, Steven. This concludes our prepared comments. We will now open the call for questions.
Operator: [Operator Instructions]. Our first question comes from Omotayo Okusanya of Jefferies.
Omotayo Okusanya: Just to focus on the 2 top 10 tenants that are 90 days late on rent, just want to make sure I fully understand. When was the last time each one actually paid rent? Was that March, April? Or you haven't got anything since then?
Taylor Pickett: Yesterday. Both of them actually paid rent yesterday. So No, it's not like its just -- it was just a rent drop off of rent payments, it's just a base slowdown. Actually, closer to the beginning of the year, some -- couple of these guys are making payments almost on a weekly basis which is just somewhat less then what's due on a monthly basis. So that's caused that number to grow over the last few months.
Omotayo Okusanya: Got you. So they're just not paying the full amount and that difference is worth about 90 days of rent. Is that what you're saying?
Taylor Pickett: Yes. It goes up and down, I mean. At the end of the first quarter, it was approximately 90 days for one of our operators and then it went down and now it's been back up a little bit. So it depends on a cycle of the month.
Omotayo Okusanya: So Okay. So they're just paying a -- they're not paying the full amount is what basically happening. But they are kind of paying regularly?
Taylor Pickett: Correct.
Omotayo Okusanya: Okay. That's helpful. With signature -- you kind of mentioned that there is some type of restructuring plan in place that you've agreed upon. Can you share any of those details about what can tell?
Taylor Pickett: Actually, I didn't mention signature by name, but there is an operator that we have had some restructured discussions with. They are still ongoing. They're fluid -- we have a deal with them and I won't go through specific on an earnings call, but it involves some potential asset sales in the near future.
Omotayo Okusanya: Does it involve any of rent relief?
Taylor Pickett: No.
Omotayo Okusanya: Okay, that's helpful. And then just another quick one from Bob. Just notice from the supplemental this quarter that the statement of cash flow wasn't in there. Any particular reason why we miss it this quarter?
Robert Stephenson: Sorry about that Tayo. We moved our earning call up about a week due to management scheduling issues and the statement cash flow wasn't fully reviewed. Last night, when I posted the supplement in our website. So I chose to post the supplement with the earnings release, knowing that I'm going to go ahead and repost a supplement either today or tomorrow with a statement of cash flows in there. It was just that timing. I thought it was more important to get the supplement out with earnings than wait for one scheduled to be put in.
Operator: Our next question comes from Chad Vanacore with Stifel.
Chad Vanacore: So on the two tenants that aren't currently on rent, can you give in a little more detail on what gives confidence in cash flow issues on these operators are temporary and specific to company and not endemic to your portfolio?
Taylor Pickett: Sure. The second operator that Dan talked about where we have coverage that's literally just below our mean, have external issues that Dan also mentioned, the DoJ investigation and a piling up of claims PL Geo claims in Kentucky and that's really rush of people to file claims before Tort reforms occurs in Kentucky which is effective July 1, so you have those couple of issues. And in addition, this operator has a broader portfolio and some assets that don't perform as well as the Omega assets have performed. So there's been liquidity pressures from various points affecting that operator, yet our portfolio performs at a level that we'd underwrite to. So that's getting through these liquidity issues and having them in a position where they can pay our rent current based on comfort. So I would get back and I'll go, all right, we've got to get prepared to their but it has nothing to do -- like everyone else, they saw a demontition [ph] in coverage that we sold through the whole portfolio of about 10 basis points. They saw a similar demontition [ph] but nothing more. And then the first operator that Dan spoke about, they made a decision to change the culture of their business and change the management team, it was the right decision but it created a fair amount of turmoil throughout that organization. And from our -- and every week, we get updated cash analysis, updated budgets, we're -- we see these numbers, we might as well be their corporate headquarters. And -- so part of the analysis for us is their budgets which show them in a position, at least for now, to be able to pay our rent current not get further behind. But as Dan mentioned, we have to evaluate that because right on the cost that went up. But we want to be as transparent as we can in terms of, this is where that operator stands. We think there's a pathway. We turned out 2 that pieces of that portfolio. We're talking about a couple of others one-off assets that may be better off in somebody else hands. And if they're able to perform their plan which they've started -- as we mentioned, last quarter, they were about 1 up. It seems like they're starting to pull out. If they are able to hold to their plan, then we're encouraged that the plan would be that they stay inside 90 days and then slowly grind their AR now.
Chad Vanacore: All right. That's good answer, Taylor. And just thinking about if you're not current on cash collections for somebody's tenant, there should be a difference between bad and actual cash collections. Can you talk about that difference or you have given some guidance there?
Robert Stephenson: This is Bob. On the FAD side -- first of all, FAD is non-GAAP noncash flow measure. And so looking at the right component of that, Taylor just went in why we believe it's collectible. If we thought it wasn't collectible than we would've reserved for it. And the other thing is -- so when someone pays early, we don't include that in FAD for that period. And if you look at the expense side of that, all public companies that have bond out there, you accrue your bond payments quarterly but you pay them semi annually, so and you don't break out that timing either. And so bottom line is, based on what Taylor just went through, we believe the collectibility and therefore, it's in the FAD number.
Chad Vanacore: All right. So then we've got a balance sheet it shows rising account receivables. Is that basically the 1 or 2 tenants or is that something endemic across the board?
Robert Stephenson: That is the 1 or 2 tenants. And I know the statement of cash flows went out there, Chad. But when it's posted, you'll see our cash from operations on a year-to-date basis was $263 million and in the first quarter, it was $114 million. So you'll see roughly $150 million of cash flow from operations they are competent that went up slightly about $4 million that's all based on that second tenant that Dan spoke about. But as Dan also spoke about that, that tenant has security deposits and personal guarantees that more than cover the entire Phase II balance.
Taylor Pickett: Yes. I'd just like to reiterate that, that 1 competent -- although, that's kind of just behind. There's no issue at all about the collectibility of that component of past 2 because those street deposits letter of credit and personal guarantees far out of way where we're with them today.
Operator: Our next question comes from Nicholas Yulico with UBS.
Nicholas Yulico: So sorry, can you just repeat the number that you talked about, Bob, on the what the cash from operation is going to look like?
Robert Stephenson: Yes, so the year-to-date statement cash flows will show cash from operations of $263 million plus or minus, I'm just going on top of my head. And I know at the end of the first quarter, it was $114 million so that changed right there, its roughly $150 million for the quarter.
Nicholas Yulico: Okay. And then, just want to go back to the operator -- the second operator you talked about, the one who's restructuring, I mean, there's been -- this is been news about signature in the press about that they do have a working capital loan out. So I'm wondering, if you -- one of the steps of release in restructuring -- would you be willing to step in as a working capital lender to this tenant in case they can not get their current lender to restructure?
Robert Stephenson: Something that we haven't talked about, Nic. But if something, we've been through dozens of these and occasionally, that is part of the solution. So it hasn't been discussed. But if it's part of the solution that makes sense then we'd probably go down that pathway.
Nicholas Yulico: Okay. And then just going back to the rent that is in arrears, can you give us a dollar amount of the differential on the rents that has or you've booked it as revenue versus you haven't actually received it as cash year-to-date?
Robert Stephenson: Yes, Nic. So the first tenant operator that Dan talked about. The past due was about a little over $11 million and that's down from the first quarter slightly and the second tenant we've talked about is about $10 million.
Nicholas Yulico: Okay. So I guess, just trying to solve altogether. I'm trying to understand, if you have these 2 tenants that are together they equate to 13% of your overall revenue, they haven't paid all their rent in the first half of the year. How does your -- how do you think about raising FFO and SAD guidance in the face of that? I think that's what some of us are struggling with.
Robert Stephenson: Well, I think what -- we're trying to be very transparent about where we stand both of these tenants. The 1 tenant that's $10 million behind, literally the LCs and personal guarantees beyond cover that, well beyond. So that's collectible. It's just a question of as you work through a process either steps of that, there's no reason for us to pull that lever because we know where we stand in working through with them, where we're going to be and we see -- we think there's a process that takes us through and they pay us to the expense they can. So we look at that and go, okay, that's that tenant. And then the second tenant, the first one that Dan talked about, is $11 million in arrears, doesn't have kind of security behind it that signatured us, but that's one that we have to evaluate. And we've been -- we're really very clear on that. If there's further deterioration, meaning they can't hit the plan that they put forward to us then we'll have to look hard at whether or not we go to cash basis account. But we're not there yet, we just want to be clear where we're.
Nicholas Yulico: Okay, that's fair. And then just on that second -- on that you're talking about where you might have to go to cash basis accounting. I mean any number -- so people aren't surprised if this happens, any number you can give us on what would be the FFO impact if you had to go to cash basis accounting on this tenant?
Taylor Pickett: I think the issue is if the rent from that tenant post carving off in Northwest and Texas is about $44 million a year. So when you think about 1x cover $44 million of cash flow right now at $44 million of contractual rent. So if you put it -- if you think about it as one two cover, let's assume they can't improve, you can do the math, its $0.01 a quarter maybe, maybe pretty minimum.
Nicholas Yulico: But sorry, just to be clear, this is not an issue where you're saying you'd remove a straight line rent benefit from your FFO?
Robert Stephenson: You know what, the accounting side, we'd have to cross that. I think you that you have to think about all the accounting so.
Nicholas Yulico: I was just wondering when you talked about moving to a cash-based accounting, if this is an issue where you'd have to -- you're losing the straight line benefit from your FFO and that's the issue. I wasn't clear if that issue or if that's one where you're saying you have to actually cut the rent. I'm a little unclear about that.
Robert Stephenson: Yes, I think we're going through sort of theoraticals of the accounting that -- you know the point is, we'd to evaluate where we're with that operator. If they fail to perform based on the plans they provided us so -- that accounting is going to depend on exactly the facts and circumstances when we cross that.
Nicholas Yulico: Okay, but there's no -- I mean, as of today, there's nothing you could say about whether -- I mean, is this tenant -- is there actually straight-line revenue being booked in your FFO for this tenant?
Robert Stephenson: It's $3 million a quarter.
Operator: Our next question comes from Michael Knott of Green Street Advisors.
Michael Knott: Sorry to beat this horse, but on I guess it would be the second tenant that we're talking about where you have a restructuring agreement. My question is, can you remind us if you have any debt investments in that operator? And if that's influencing -- how you're thinking about whether to take it through bankruptcies or not? And then also it sounds like the outcome here is out of your hands in terms of some of the other landlords that have a say here. Can you just comment on some of those factors?
Taylor Pickett: Just a couple of things. One, Dan had mentioned, it's a tentative agreement. We don't actually have something that's signed with this operator. And he also mentioned, there's a possibility that if there's not an agreement with our operators that it could to take a different pathway, but it's not in specifics. So there's a couple of little bit moving parts there I want to be clear about. We do have a piece of debt with that operator. Part of our discussion with them is that debt would remain in place. And again, given the cash flow that they have, our existing tentative term sheet with them does not include any reduction in contractual rents.
Michael Knott: Okay. Are you willing to disclose the amount of the debt investment in place there?
Taylor Pickett: It's $37 million. I'm sorry, Mike tell me exactly the number.
Robert Stephenson: It's a total of $32 million but we have $30 million offset again.
Michael Knott: I'm sorry, there is an offset from what.
Robert Stephenson: It was a purchase accounting thing. It -- there is a reserve on the box that was -- it's not because we put a reserve on the books, it's was all related to the purchase accounting on the Welltower, when we did the 9 30 transaction with Welltower. So put the receipt in the books and you put the reserves up at the same time.
Michael Knott: And then, just sort of follow-up on Nick's question about the guidance because I think many of us had the same type of questions. Does the guidance of that stands today for '17 reflects the scenario where they get back on track and there's no more of this past due rent and these unpaid balances don't grow further? Or -- because if I think about -- mine understanding of the accounting, perhaps, if you were to have to converts some of these letters of credit or personal guarantees to the result some of the growing receivables, I just wonder if that would actually even hit the FFO number or not?
Robert Stephenson: Now listen, I think what you said earlier is the exactly derivative. If we have status quo, in terms of the past dues, we wouldn't expect any reduction. We would expect our FFO to continue at current pace.
Michael Knott: So the current guidance is sort of good case FFO scenario where these issues do get resolved which it sounds like that is your expectations, but if they don't get resolved then the guidance would be at risk, is that -- Do I understand that right?
Robert Stephenson: That's fair.
Michael Knott: Okay. And then if I could just ask one more. On the operator EBITDAR coverage less than 1.0x schedule, are there anybody -- are there any other operators that are not current on rent that are not on that schedule? Because for some reason, the coverage is not on that table.
Robert Stephenson: No, I don't think any materiality. No.
Operator: Our next question Juan Sanabria from Bank of America.
Juan Sanabria: Sorry, this is a bit odd just because you guys changed the time of the call. I'm not sure what's been asked. Could you just comment on your decision not to have a provider statement in this cash flows? And how that would change given that some of your tenants aren't current on rents?
Robert Stephenson: Juan, this is Bob. Yes, we did cover that. But when we published the supplemental last night, the statement of cash flow was not ready since we moved our earnings call about a week due to just management scheduling issues. I chose to publish the supplemental without statement cash flows and wait till you are here tomorrow when it's finalized. I didn't want to hold the whole supplemental for that.
Juan Sanabria: Can I ask what tenant is rolling in next the year 3.5% of NOI and if there's any discussions or risks around coverage there?
Robert Stephenson: Yes, there is one and we're in discussions. But the coverage of that particular tenants are quite good so we don't see a big risk of that coming back to us unexpectedly.
Juan Sanabria: It's be better -- if you changed the time of the calls, it'd be better to have maybe a separate press release calling that out.
Robert Stephenson: Hey Juan, this is Bob. If you can call me -- we did not change anything. It's been published. So call me after so I can find out where you are getting that data so we can correct any...
Operator: Our next question comes from Omotayo Okusanya of Jefferies.
Omotayo Okusanya: I just wanted to talk about the whole Tort reform situation in Kentucky that -- now that we have in place July 1, how do you kind of think about ends up changing things for some of your tenants that have meaningful exposure to that state?
Robert Stephenson: So total reform in Kentucky is kind of multistate. What has passed in the state was a medical review panel which we've seen in another states as the kind of the first step towards an overall reform, if you will and putting caps on period of amounts. But -- so that's what took effect on July 1 which is the medical review panel where by a tenant has to present their case, basically, to a panel and it can take up to 9 months before they can go forward with an actual suit. So that's what we have right now. They do feel that, that is the first step toward going to a full-blown Tort reform. But that's legislative in nature and it will take a little bit of time. It'll take probably a year or more to get that fully implement. And there is no guarantee that it will, but right now, they feel pretty good about it.
Omotayo Okusanya: Okay, that's helpful. And then the tenants on the DoJ investigation, again, everything is kind of work in progress so to speak, but any kind of real concerns that a settlement could create some real negative financial impacts for some of these companies?
Taylor Pickett: I think they are rare. I think it's going to be consistent with what we've seen from the DoJ and much bigger cases where the ultimate resolution is one that is sustainable from a cash flow perspective.
Omotayo Okusanya: Got you. And the last one for me any update on conflict at this point with the Dale litigation issues?
Taylor Pickett: I don't think there is any update on the litigation front.
Robert Stephenson: No, I think it's actually been stated for us.
Operator: [Operator Instructions]. And our next question is a follow-up from Michael Knott of Greenstreet is Weiser's.
Michael Knott: I'll avoid the horses this time around. Can you talk about, I know Maplewood is one your key operators. There is an interesting story the other day that you probably saw about their interest in eventually growing pretty ambitiously. I think the number, cited in the story, was something like $5 billion. Can you just talk about how much of that you might be interested in doing overtime with them or how you sort of think about that?
Taylor Pickett: We think about them as our permanent partners. So we're -- Greg Smith is an ambitious guy and he likes pulling a lot of things and we feel great about him as a partner for us. So we will look at everything that he's interested in.
Michael Knott: But we should take that as -- if he really does do $5 billion then that's something you guys want to fund that, that aggressively?
Taylor Pickett: I think that he's really going to do $5 billion, it's got a little question mark around it. But, look, we think second half is going to be home run. Everything we've have done with them to date, the 13 facilities we have, they are active, all perform beyond planned. And if we can find more opportunities with him, we're going to take advantage of it. I think $5 billion would be pretty tough. I'm looking at our Senior VP of real estate, he's just nodding it as a tough one.
Michael Knott: Okay. And then can you just comment on investment landscape and where you see yields and opportunities? And then also any comment you have with respect to where market level SNF coverages are today? in some sense, when you talk about all of these operators missing rents and everything and if you're sort of -- you are new to the space, you'd sort of look at it and say, why do all of these SNF owners, why are they okay with taking a 1 35 coverage that just seems overly risky. So just any comments you have on, sort of, where that stands in the marketplace today?
Taylor Pickett: So generally, just market conditions running pretty choppy right now, I would suggest. There -- We haven't seen a lot of mortgage deals brought to the market other than the Kinder transaction that was announced. But for the most part, it's been -- we've been seeing small to midsized deals in different geographic regions. But once again, one of the big stuff. When we look at underwriting, we're still looking at a one four coverage that's balance around over the years, went down at one time to a low 1 25. But given the uncertainty and the different issues, it's back up to the one four coverage and that's what we underwrite due today.
Michael Knott: Any comments on just where yields are?
Taylor Pickett: 12% it's north of 9%, pushing 10%. At least the way we look at the world.
Michael Knott: The large private equity deal you guys did with -- on genesis, the Welltower deal, I think that was 9 45. You think the yields have gone up since then?
Robert Stephenson: It's in the 9s. It's going to range from 9 and a quarter to high 9s, 9 75.
Operator: [Operator Instructions]. And we have no further questions, I would like to turn the conference back over to Taylor Pickett for any closing remarks.
Taylor Pickett: Thanks for joining our call today.